Operator: Welcome to the American Equity Investment Life Holding Company's Second Quarter 2022 Conference Call. At this time, for opening remarks and introductions, I would like to turn the call over to Julie Heidemann, Coordinator of Investor Relations. Ms. Heidemann, please go ahead.
Julie Heidemann: Good morning, and welcome to American Equity Investment Life Holding Company's conference call to discuss second quarter 2022 earnings. Our earnings release and financial supplement can be found on our website at www.american-equity.com. Non-GAAP financial measures discussed on today's call and reconciliations of non-GAAP financial measures to the most comparable GAAP measures can be found in those documents or elsewhere on our Investor Relations portion of our website. Presenting on today's call are: Anant Bhalla, Chief Executive Officer; Jim Hamalainen, Chief Investment Officer; Axel Andre, Chief Financial Officer. Some of our comments will contain forward-looking statements which refer to or relate to future results, many of which we have identified in our earnings release. Our actual results could significantly differ due to many risks, including the risk factors in our SEC filings. An audio replay will be made available on our website shortly after today's call. It is now my pleasure to introduce Anant Bhalla.
Anant Bhalla: Thank you, Julie. Good morning, and thank you all for your interest in American Equity. American Equity continues to execute on all aspects of the flywheel of our business strategy. The American Equity ship can best be summed up as steady as she goes. Reflecting on the broader external environment, as supply constraints impact the outlook for inflation, and the Fed remains steadfast in its resolve of balancing its dual mandate of maximum employment and price stability, we expect continued capital market volatility for the remainder of the year. In this environment, we see opportunity in investment returns driven by potential large changes in relative value across various private and public asset sectors, the timing of which will vary depending on the sector. Starting with both, a substantial, and a strong, resilient balance sheet will give AEL an advantage. I will let Jim and Axel walk you through specifics in a few moments, but we continue to see meaningful opportunities to play offense, and will continue to return capital to shareholders, including having repurchased 4.95 million shares in the second quarter at an average price of $38.20. Total first half common stock repurchases were 9.4 million shares at an average price of $39.20. With this, we have fully repurchased with 6.8 million shares issued to Brookfield in early January, and additionally repurchased $109 million of shares through the second quarter. Even in these uncertain macro conditions, we will remain active in our capital return plan. We see great opportunity on the investing side, both in public and private assets, and markets reprice risk-return attractiveness of various subsectors. Relative value across assets is changing rapidly, as different sector returns reprice at different speeds. In the quarter, we put an additional $1.4 billion to work in private assets, bringing our total allocation to private assets to 16.6% of the investment portfolio. We remain bullish on residential real estate loans where yields are now north of 6%. That said, the recent increase in rates on public assets will allow us to wait for certain private asset sectors like infrastructure equity, to reprice further before we deploy it. Hence, we stay true to our more opportunistic bent in private assets investing versus traditional programmatic approaches that are more typical at insurance companies. American Equity's private asset mindset is similar to an alternate asset manager seeking opportunistic investment returns to support a permanent fund base. Therefore, from time to time, we may be more measured in deploying in private assets, while still enhancing our investment spread. In the go-to-market area, we saw a decline in sales of fixed index annuities of 12%, compared to the first quarter, as we chose pricing discipline over chasing the market as interest rates fluctuated. With our focus on growing income product sales, American Equity Life's Income Shield sales rose 2% from the first quarter and were basically flat with the comparable period a year earlier. And Eagle Life Select Income Focus increased 14% sequentially. In accumulation products, we saw sales decline driven by commoditized rate-based competition. The sales climate remains deeply competitive. In the income space, a number of competitors raised payouts and deferral bonus rates during the quarter. In the accumulation space, we are seeing levels of commoditized price competition that strike us as extreme. And as a disciplined player who is already at scale, we are more measured in price changes, particularly for shorter duration products. As we see a true reset into higher rate investment yield regimes, we have chosen to raise new money rates for longer duration, less commoditized products, while focusing on other areas of differentiation like our product design in the income space, and continued loyalty from a core set of producers that provide balance to the steady state of a couple of billion dollars of origination year in and year out across market cycles. In June, we began making the following changes to longer duration products, specifically increase in guaranteed income on Income Shield to regain a top position in the guaranteed retirement income space, increase in guaranteed income on Eagle Select Income Focus, which will become effective shortly. Last Friday, we announced several actions to make EstateShield more competitive, including increasing the benefit account value bonus, payout factors, and crediting rates on all strategies, and increased cap and participation rates on both S&P and proprietary strategies, to be reflective of a higher core fixed income return environment, while sidestepping to more commoditized, pure rate-based competition areas. As equity markets experienced turbulence, we believe that a more durable lifetime income product suite with index participation rates will see a revival, a trend that reversed in the recent decade plus bull market in equities, when the singular focus on fixed income annuity growth was about accumulation only products. This current macroeconomic environment based resetting of return expectations, will be a longer-term tailwind for our product solutions, especially for retail clients. We believe that most, if not all, financial planning roadmap eventually needs to lead towards income replacement for clients for which FIAs are a core product solution, while equity market recovery stories build the dialogue in FI accumulation towards participation rate strategies, which provide the consumer with the best chance to capture a rebound in the market beyond just standard S&P cap rates alone. We are driving the education of the income and participation rate stories with key IMO partners and independent broker-dealer distributors. Moving on to earnings results. We were generally pleased with the quarter reporting non-GAAP operating earnings per share of $0.98, driven by strong yields on the investment portfolio, in line expenses and continued decline in share count, driven by our robust capital return execution. Axel will get into all the details in a bit, but now I'll turn the call over to Jim to provide with a little deep dive into our investment portfolio.
Jim Hamalainen: Thank you, Anant, and good morning, everyone. I'm going to take you through some information today on our investment portfolio, including a discussion about the progress we're making in transforming the investment portfolio mix. As part of today's discussion, I'll speak to how we've used this transformation to reduce risk in segments of our core portfolio, while redeploying funds into privately sourced investments that improve our portfolio diversification with a strong risk-reward profile and greater control over investment structure and outcomes. Speaking of future outcomes, I'll talk to some of the scenario testing that we do on sectors of the portfolio, to assess how our investments might perform under stresses such as an economic downturn, and how that informs our portfolio construction and transformation decisions. During the quarter, we increased the allocation to private assets by over 1%, as we source private assets primarily across real estate sectors. With the Fed continuing up half of increasing short-term rates, inflation remaining high, and slowing economic growth, our focus has been to source assets where we expect good long-term returns that are able to weather a contractionary economic period. Residential real estate is the area of the market where we sourced the most assets this past quarter. And while residential real estate has slowed quickly from the frenzy growth earlier this year, with price increases slowing and transaction volume declining from the peak, demand continues to remain strong by historical standards. While the economic outlook is never certain, we operate from a position of balance sheet strength. Over the past two years, we have worked to reduce risk in those sectors and securities of the portfolio that we felt had the highest probability of principal losses in an economic slowdown or a recessionary environment. Our focus of that work has been a lower rate of securities in the corporate credit and securitized asset sectors. Starting with corporate credit, we've constructed a portfolio that is well diversified. Holdings in BBB rated securities are focused on sectors that are more defensive and resilient, like consumer noncyclicals, utilities, telecom, insurance. Through risk reduction trades over the past two years, we reduced the exposure to BBB rated corporate securities by approximately 3 percentage points of the investment portfolio to 27.9%. In addition, we reduced our exposure to below investment-grade corporate securities by over half, and it now stands under 1% of the investment portfolio. The focus of these proactive changes over the past two years was on sectors where we thought the fundamentals will be most at risk of deterioration in the slowdown, and those securities where we felt the risk of principal loss was not balanced with the return. In addition to managing exposure to principal loss, we also concentrated on managing potential ratings migration in the portfolio, which limits the impact to capital from downgrades. In the securitized asset portfolio, over the past two years, we have reduced the overall exposure to CMBS and CLOs, as well as improve the risk profile within those asset classes. We will continue to migrate the portfolio up in quality through both, purchase activity, as well as risk reduction trades. Relative to total invested assets, our total CLO exposure has decreased from 9.4% to 6.7% over the past two years, and our overall CMBS exposure over that time has decreased from 10.1% to 8.2%. In addition, the percentage of CLO holdings rated BBB or lower, has decreased from 5.9% to 3.5% of the investment portfolio. And finally, over that timeframe, we cut in half our CMBS holdings rated BBB or lower from 0.8% of the investment portfolio to 0.4%. To assess the risk in our current holdings, we run stress test to estimate potential losses and downgrades across economic scenarios. This analysis gives insights into those securities that could deteriorate in a downturn or recession, and helps to find and shape the composition of the portfolio and the risks we take. These stress tests have shown that our overall portfolio is well protected from losses in a moderate recession. In both the CLO and CMBS portfolios, the BBB or lower-rated securities show very manageable losses even in stress scenarios that are similar in severity to the Great Financial Crisis. In that scenario, we project some downgrades, but the impact from the downgrades is manageable, given our ability to generate organic capital through investment earnings on the rest of the portfolio, and we do not expect it would impact our capital plans for the business. In addition to running stress tests, we have evolved and improved our strategic asset allocation models and processes, and aim to be an industry leader in this area, and to be an opportunistic asset allocator across sectors, based on tactical market opportunities. This is an important element in optimizing the portfolio, and ensuring we are operating within the risk-return characteristics of our risk management framework. As we continue to optimize our portfolio toward a greater allocation to privately sourced investments, we also continue to evaluate the overall risk profile of the portfolio in order to support our product liabilities and to maintain our balance sheet strength. And with that, I'd like to turn the call over to Axel.
Axel Andre: Thank you, Jim. Let me extend my appreciation to all of you attending this call. For the second quarter of 2022, we reported non-GAAP operating income of $91.1 million or $0.98 per diluted common share. The quarter included $9.2 million of revenue from reinsurance, stemming from our Brookfield reinsurance relationship, up from $8.6 million in the first quarter of this year. The expansion of the relationship to include sales of EstateShield and Eagle Select Income Focus will be included in third quarter results effective July 1, 2021. The account value and notional value of in-force subject to recurring fees will recede on these two products, reflecting sales from July 1, 2021, through June 30, 2022. I expect it to be approximately $260 million and $235 million, respectively, these results in recurring revenues, which are expected to grow over time, as we migrate liabilities to the fee-based business model. Average yield on invested assets was 4.33% in the second quarter of 2022 compared to 4.15% in the first quarter. The increase was primarily attributable to lower average cash balances and a benefit from the increase in short-term rates on our floating rate assets. The average adjusted yield, excluding nontrendable prepayments was 4.28% in the second quarter of 2022 compared to 4.12% in the first quarter of 2021. In the quarter, yield increased by 8 basis points due to the increase in short-term rates, and 9 basis points from a decrease in average cash balance. While the benefit from partnership income was lower than in the first quarter, this was mostly offset by stronger valuations on owned single-family rental properties. Partnerships and other mark-to-market assets contributed $27 million to investment income in excess of assumed rates of return used in our investment process. At quarter end, cash and equivalents in the investment portfolio was $544 million, basically flat with March 31. Average cash and equivalents for the quarter was $526 million, down from $1.7 billion for the first quarter. During the quarter, we invested $2 billion at a yield of 4.88%, including $1.4 billion of privately sourced assets, at an expected return of 5.10%. Our allocation to privately sourced assets was 16.6% of invested assets as of quarter end, compared to 15.4% at March 31. For the month of July, we invested $542 million at an average yield of 7.08%. The July rate on new money is probably a bit on the higher side as it was predominantly in private assets, primarily real estate and middle market loans. That said, we would expect higher new money rate than in the past, as we historically had large amounts of core bond purchases that broke down the overall yield, as we redeployed large amounts of cash and otherwise reduced portfolio risk. As of June 30, the point-in-time yield on our investment portfolio is 4.05%, reflecting the benefit from the increase in LIBOR and the further increase in our allocation to privately sourced assets, partly offset by higher expected expenses, as we build out our investment platform. For the third quarter, we expect an additional benefit of roughly 16 basis points in yield, reflecting the increase in LIBOR on our $5.2 billion of floating rate assets. The aggregate cost of money for annuity liabilities was 169 basis points, up from 164 basis points in the first quarter. The cost of money in the second quarter benefited from 2 basis points of hedging gains, compared to 3 basis points of hedging gains in the first quarter. The increase in the cost of money, excluding hedging gains, reflects a higher cost of options in the second quarter of 2022, compared to the runoff of lower cost options purchased in the first quarter of 2021. Custom options in the second quarter of 2022 averaged 1.61%, compared to 1.60% in the first quarter. Investment spread in the second quarter was 2.64%, compared to 2.51% in the previous quarter. Excluding prepayment income and hedging gains, adjusted spread was 2.57% in the second quarter, compared to 2.45% in the prior quarter, reflecting strong investment returns, offset modestly by the increase in cost of money. By delivering on our investment returns, we expect to offset increased option costs. Deferred acquisition costs and deferred sales inducement amortization totaled $133 million, compared to $129 million in the first quarter, reflecting $8 million of additional expense due to lower index credits during the first quarter and partially offset by lower expense due to lower living benefit utilization during the first quarter. Second quarter amortization was $6 million greater than the model's expectations, primarily due to higher interest margin and lower-than-expected index credits. Given the low level of projected index credits and projected increase in net investment spread, we would expect amortization of back-end DSI to be in the $140 million to $145 million range in the third quarter under current best estimate actuarial assumptions. The liability for guaranteed lifetime income benefit payments increased $96 million this quarter, compared to $85 million last quarter, primarily due to lower index credits in the first quarter and partially offset by lower labor utilization and higher lapses than in the first quarter. Second quarter LIBR reserve increase was $34 million higher than modeled expectations, primarily due to lower-than-expected index credits and higher labor utilization than modeled expectations. Given the minimal level of expected index credits at current S&P 500 levels, we would expect the increase in LIBR reserve in the third quarter to be similar to the second quarter change. Other operating costs and expenses were $60 million in the second quarter, compared to $58 million reported in the first quarter, in line with previously stated expectations. We continue to build out our teams with specialized expertise, and invest in the systems infrastructure and other projects necessary to support our growth at the new AEL, and still expect other operating costs and expenses to be in the $240 million range for the full-year, as project costs that have been capitalized will begin to be amortized in the second half of the year. Over the long-term, we expect to manage expenses at a certain level of basis points of policy or the funds under management and administration. At June 30 and July 31, cash and equivalents at the holding company were $278 million and $562 million, respectively, with the increase at July 31, reflecting $300 million of proceeds from the previously announced drawdown of a term loan facility. This additional capital flexibility will be deployed for continued execution of investment management partnerships and other potential growth opportunities for long-term value creation for our shareholders. On January 1, 2023, LDTI will become effective. For American Equity, given our mix of business, the impact to retained earnings will primarily be due to the change of reserves for LIBR benefits from the SOP 03-1 framework to the market's risk-benefit framework. In addition, there will be an impact to AOCI due to the elimination of shadow DAC, DSI and SOP balances. Our current estimated impact to retain earnings is expected to be less than $100 million as of January 1st, 2021. Including AOCI, our current estimated impact to total equity at January 1st, 2021, is an increase between $1.5 billion and $2 billion. The majority of the impact to AOCI is related to the elimination of the concept of shadow DAC, DSI and shadow SOP balances in the new methodology. And secondly, to the change in value of market risk-benefit reserves due to changes in own credit spread from time of policy issue to the transition date, January 1st, 2021. Given our estimate of return in earnings as of January 1st, 2021, and the beneficial increase in interest rates since then review the adoption of LDTI as nonsignificant. Now I'll turn the call over to the operator to begin Q&A.
Operator: Thnak you, sir.  Our first question will come from Pablo Singzon of JPMorgan. Your line is open.
Pablo Singzon: Hi, thank you. The first one I have is for Anant. I'd be interested to hear how you see the current environment. You sort of described it, right? You referenced higher rates, changes in relative valuation. How do you feel all that affecting your ability to attract third-party cash flow? And then I guess the question is with higher cost asset classes. Do you think the appetite for private assets will be as strong as before, given that the incremental spread there might not be as wide as before?
Anant Bhalla: Hi, Pablo. Good morning. Short answer is yes. We still see a lot of appetite, frankly increasing appetite from third-party capital. Because at the end of the day, what does a sidecar or reinsurance vehicle allow third-party capital to get? It allows third-party capital to get a permanent structure in accessing reinsured liabilities as a form of leverage to have a 12:1, 13:1, 15:1 leveraged structure. So, it's like -- it's a permanent fund replacement. We're in it for delivering investment returns. They come to the 60-40 mix between public and private. Private asset returns will be at a premium to public market returns. And so, we still see it being an enduring structure -- enduring permanent structure for third-party capital. I'll take any follow-on if you have on that, or any other question?
Pablo Singzon: No, Thanks a lot. The second one I have is for Axel. So, I appreciate your comments on index credits. I was wondering if your comment on how index credits might impact capital generation and deployment this year, next, given that index credits feed into statutory income?
Axel Andre: Yes. I think the impact of index credit is really a -- well thatâs probably is obviously a short -- a lower rate of growth in account value in overall asset -- basically assets under management. But as far as the impact that would have on long-term capital generation, it's really minimal. So we -- like we said at the beginning of the call, we remain committed to our capital return plans, and I'll leave it at that.
Pablo Singzon: All right. Thank you.
Operator: Thank you.  Our next question will come from Erik Bass of Autonomous Research.
Erik Bass: Hi, thank you. I know you don't disclose an interim RBC ratio. I was hoping you could discuss how you're thinking about AEL's overall capital position, including holdco liquidity, and also how you're thinking about leverage and the decision to draw down the term loan in July?
Anant Bhalla: Hi, itâs Anant, I'll start and let Axel adding up with me. Just strategically how we think about the things you mentioned was -- you're spot on right. RBC becomes a lot less relevant for us as we run as a solid A financial from the different rating agencies. So we look at our capitalization on a consolidated balance sheet basis where we want to be a strong A-rated company from S&P, AM Best, for example. So that becomes relevant. The -- on the concept of using proceeds that we just brought in from debt, as Axel mentioned, we're thinking strategically. We -- this business is one where we're like a merchant bank. We will bring in the liabilities we'll keep some for ourselves. We'll put some into a sidecar, which is third-party capital. So we're not really looking to be a high financial leverage institution. We're looking to have modest amount of financial leverage, which I would say is -- we have low leverage right now, and commensurate with our ratings, you could be easily north of 20%, and you would still be moderate. But that gives us a lot of dry powder. We have a lot of dry powder from a leverage point of view to make strategic moves. And for now, building our investment partnerships is where we will deploy some capital in addition to returning to shareholders. Axel?
Axel Andre: Yes. Thank you, Anant thatâs great and yes, just to add some numbers behind what you said in terms of leverage. So even post the draw on the term loan facility, our leverage ratios are in the mid-teens, which provides us with ample capacity consistent with the solid A rating, as Anant mentioned.
Erik Bass: Got it. And I clearly heard the message on capital return for this year, but how are you thinking about capital return plans post 2022? And is the $250 million to $300 million you talked about at the time of the AEL 2.0 rollout, is that still the right baseline to think about?
Anant Bhalla: Early days to give you a baseline for the future. I think as we execute our sidecar, we'll talk about it more. I would point you to Page 11 of the supplement, right, where we're making around 95 basis points on reinsured liabilities. So that's like $45 million of earnings, much higher multiple of that in ceding commission that's coming in each year, because we have to amortize those ceding commissions over the expected life, but we're realizing them over seven years. So a very high free cash flow conversion over there, which is all going to go to shareholders. And if you just even look at the balance sheet as of now, we have -- if you do the math there, in excess of $100 million of cash on the ROA business, which could easily be returned to shareholders. As we ramp that, that's a source of sustainable capital return to shareholders, and we'll come up with more guidance on that or forward-looking views on that as we execute our sidecar. But that's the path to capital return, not just from freed up capital. And we're going to have plenty of freed up capital as we go forward as well.
Axel Andre: You very well said in that. I don't think I have anything to add.
Anant Bhalla: Erik?
Erik Bass: Thank you. And just last thing -- sorry, go ahead.
Anant Bhalla: Sorry I'm just going to say the dynamic that GAAP earnings of ROE are more muted than cash generation, is one that I would just reemphasize. The multiple of cash generation to GAAP earnings on our ROA side is well north of 100%. So that's where we can return much more capital at that ramp.
Erik Bass: Got it. And I just want to make sure I heard you right. Did you say that kind of the cash generation from fee earnings is running at about $100 million? And then I guess the other thing, it sounds like from your comments to Pablo that you're still confident in getting a third party sidecar capital raised. Is that something you still expect to have in place by year-end?
Anant Bhalla: Yes to the first answer. The second one will be next year.
Erik Bass: Okay, thank you.
Operator: Thank you.  Our next question will come from John Barnidge of Piper Sandler. Your line is open.
John Barnidge: Thank you very much and good morning. Could you maybe talk -- you had the $1.4 billion into private assets in the quarter. Can you maybe talk about what the plan was entering the quarter? How market changes impacted that? Because it does sound like you're going to wait on through repricing before deploying further. I think infrastructure was called out, so maybe volume for the second half, too? Thank you.
Jim Hamalainen: Sure, John. This is Jim Hamalainen. As far as the $1.4 billion relative plan, some of the sources of private assets we have are study sources where we're sourcing a set amount each month. Some of them really come in the deal size where you might put on $200 million, $300 million at a point in time. The $1.4 million is a little higher than we had expected, but is really dependent on what we see for flows. We see opportunities out in the market. And so, we continue to source private assets in size in those areas that we feel make the most sense to put on today where we get the returns that we want, but also feel there's a level of protection for an economic downturn, which we expect at some point in time in the future. So, we expect to continue to source private assets at a good cliff.
John Barnidge: Okay, thank you. And maybe my follow-up. Mark benefit, I think it was about 20 basis points to the yield. Can you talk about how we should be thinking about a reversal of that a little bit, given what market ? Thanks.
Jim Hamalainen: Is that related to the floaters, did you say? Or what was that? Sorry.
John Barnidge: No, that was related to the 20 basis point benefit from partnership marks and other mark-to-market assets. That's the genesis of the question. Thank you.
Jim Hamalainen: Yes, sure. I mean some of that -- the valuations on those are going on lag. And so, you don't -- it's not always necessarily clear when you look at what actually happened in the quarter. But -- and some of the valuations are done at different times of the year. So certainly, we're happy with all of our partnerships and the mark-to-market assets that we have, and expect that we'll continue to get strong returns from those. The exact level though is pretty hard to predict though.
John Barnidge: Great. Thanks very much for the answers. And best of luck in the quarter ahead.
Operator: Thank you.  Our next question will come from Ryan Krueger of KBW. Your line is open.
Ryan Krueger: Hi, thanks. Good morning. I appreciate the comments on the moves you've made on repositioning the ratings within the asset portfolio. I guess, first, though, could you just give us the -- what the ratings profile is of the existing CLO and ABS portfolios, please?
Jim Hamalainen: Sure. I mean, the ratings -- I mean, generally, our CLO portfolio, a vast majority of it is investment grade. We do hold some below investment grade there. And a lot of it's BBBs on the investment-grade side. In the CMBS portfolio, that is almost entirely investment grade and single layer higher -- much more super single layer and higher ratings for CMBS. We have much smaller holdings in the Asset-Backeds and the RMBS portfolios, but those generally tend to be skewed for a little higher ratings.
Anant Bhalla: I'd just add one thing on -- I'd just add one thing, Ryan -- nice to hear what is the -- Jim's comments is, like when Jim and I got here two years ago, we looked at the CMBS book and the CLO book in great detail. And so, if you all recall, back -- at the end of 2020 and early '21, we did a lot of de-risking on the BBB stuff. And frankly, it came to the conclusion that we wanted to bring in BlackRock and  (ph) and Conning to help us figure out ahead of a down cycle. So we feel relatively good about the actions we did, including pretty heavy selling. And just to give you a data point, we actually seen some upgrades on one of the BBBs or the BBs this quarter, which is a very small portion. So Jim, I don't know if you want to stand anything on that front.
Jim Hamalainen: Yes. I mean we have seen some positive action there. And even within -- if you think about -- all BBBs of course, are created like -- you look within the portfolio, we've been very diligent and digging through it and also working with our partners, BlackRock and Conning on making sure that within even those categories that we are focused on reducing risk in those securities that we feel hold the most risk and where the risk-return profile doesn't make sense. And so, really, the things that we hold are securities where we feel commensurate with the risks that we have.
Axel Andre: Thanks. 
Jim Hamalainen: Statistics, the 92% of the CLO portfolio is rated in ASC 1 or 2, and that's been stable for quite some time,yes.
Ryan Krueger: Got it. And then my follow-up is, the NAIC continue to seemingly spend quite a bit of time looking at CLOs and what the right capital charges are against them, and there's some preliminary proposals to require more capital against CLOs. Can you provide any commentary on how you're thinking about that and what's the potential risk to be?
Anant Bhalla: Yes, I can start. We spent a lot of time thinking about that. I think one core part of our business is that we're not a structured asset shop, right? We've stayed clear of the fact that CLOs, and particularly BBB CLOs -- we just don't see that's the right way to play the game in the spread business. Maybe there are others who are far better than us in figuring it out. God bless them, we'll wish them all the best. But that's where you've seen a lot of the commoditized rate action also on the product sales side. Those who have more conviction in playing in BBB CLOs and figuring out that nth level of optimization there, which is to your NAIC point, we just think life's too short for that.
Jim Hamalainen: We have looked at -- there's a wide range of proposals and ideas out there for capital, for CLOs. So it's really hard to pin it down right now. Just there's so many unknowns, and it's a very -- it's a pretty extraordinarily wide range of proposals that we've seen.
Ryan Krueger: Understood. Appreciate it.
Operator: Thank you.  Our next question will come from Mark Hughes of Truist. Your line is open.
Mark Hughes: Yes. Thank you. Good morning. I think you just touched on this a bit, but your point about the commoditization of the accumulation product, is that kind of a function of the volatility in the interest rate environment, everybody is sort of jocking for position or making assumptions? Or is there some other structural drivers there?
Anant Bhalla: Hey, Mark. Anant Here. Yes, there are both parts of that. There is commoditization driven by those who are willing to play the more structured product arena on using those rates. So, for a case in point, I think AAA, AA CLOs right now are very, very attractive. We're not really backing up the truck on them. But I do think that -- but those who use like single A and BBB CLOs to price that business, are really driving commoditization in short-duration products. The other part that we do see as an opportunity is, to your point about rate volatility. The rates ran up a lot in the quarter, then they came back some in the quarter. We have to take a more resilient view because renewal rate integrity is a big part of what AEL was built on. And we don't want to like have a rate for one year and have it meaningfully changed in the second year. So, we've been measured in raising rates. Frankly, as the Fed gave us some 75 basis points move, and we've been studying with others, is it really different this time in terms of rates? Is -- so there clearly is a structural regime change in the term premium out there. We expect that rates are going to be higher for a bit longer, maybe not forever. And so, we're taking that forward view and have been more measured, and avoid the commoditized part of the space. We've got more competitive at the end of the quarter. I think we're going to really grow much more in the income space and find the pockets to grow in accumulation where we can make double-digit returns. The key is, you have to make double-digit returns without being heroic on the asset side.
Mark Hughes: And then, how sensitive are the results going to be to -- in the residential real estate portfolio to home price fluctuation?
Jim Hamalainen: Sure. Residential real estate, a number of different areas that we invest. Certainly on the loan side, prices are not a big impact. On the single-family rental side, the multiple avenues for return there, but the actual rent collected is a big part of that. So you may see some -- based on pricing of residential real estate, you may see some noise in valuations, but it's not -- it is not the key and not the only driver of returns there. And so, we fully expect, and you've seen it already, a backing off of the frenzy residential real estate market that we had earlier this year. But if you take -- if you look at almost any chart -- you take 2020 and 2021 out of the chart, you'd look at today and say this is the hottest market ever for residential real estate. And so, it will continue to slow down from here. But the rental market is just driven by such a supply-demand imbalance right now with supply being millions of houses short by anybody's measure, that well -- we will not expect to see the increases in rental rates going forward that we have in the past couple of years. We still expect that market to hold up nicely.
Anant Bhalla: Two strategic points to add to what Jim said. One is price exposure versus rent growth exposure. We're more sensitive to rents, right? So -- and we like the rental business because -- the second strategic point is, we have an equity investment in Pretium, one of our asset managers. That is a specialist in this space. Our relationship with them is really deepened meaningfully. We play resi with them. We do the  transaction with them. So we've got a super specialist manager with whom we're picking the spots to play, just to add a strategic overlay to what Jim just said.
Mark Hughes: Thank you.
Operator: Thank you.  Our next question will come from Russell Haug of Evercore ISI. Your line is open.
Russell Haug: Hey, good morning. I just wanted to come back to the LIBR utilization. I think you mentioned that it came down from 1Q, but just curious if that was still elevated versus a typical quarter. And if utilization assumption is something you'd look harder at, as we approach the 3Q balance sheet review?
Axel Andre: Yes. Hi, Russell. Thanks for the questions. This is Axel. Yes, so for the quarter, LIBR utilization was higher than expectations, again, in specific -- very specific segments of the block, and we talked about that last quarter. In particular, it's the certain policies that they reach an anniversary, and there's a reset in the product. That's kind of the point in time and the specific vintages that -- for which we observed this higher utilization, and that's what's driving the numbers. It was less than the prior quarter in terms of a dollar impact relative for the SOP reserve. The higher utilization this quarter was responsible for $16 million of SOP reserve higher than expectation. And again, it's part of -- that particular piece of data of experience in policyholder behavior is part of the data we collect throughout the year, and as we analyze and that ultimately results in the potential revision of assumptions in the third quarter.
Russell Haug: Got you. Thatâs helpful. And then the second one I had was, I appreciate the color on the quantification on the book value impacts from LDTI. Just hoping you could, a, give some thoughts on maybe the earnings impact as we approach transition directionally or otherwise?
Axel Andre: Yes. Thanks, Rus. Look, I think we're not going to address that at this point in time. I think as we approach next year, 2023, we'll be getting into that, but not at this point in time.
Russell Haug: Got it. Thanks very much.
Operator: Thank you.  The next question will come from Dan Bergman of Jefferies. Your line is open.
Daniel Bergman: Thanks. Good morning. I guess to start, just following up on your commentary related to Mark's first question. I wanted to see if you could provide some more thoughts around the outlook for FIA sales. Are you still looking for low to mid-single-digit growth off of last year's base, which I think would imply a step-up in the pace of sales in the second half, just based on what you're currently seeing in terms of competition and the recent implanted product changes you discussed? Any updated thoughts or color on these dynamics would be great.
Anant Bhalla: Hi, Dan. Itâs Anant. I think you're right that, that still remains the plan. The key is finding pockets in the accumulation phase space where we can write double-digit unlevered IRR business and not get in something to the commoditization game. We have areas of focus over there. And in the income area, we'll do very well for the changes we're implementing right now. So we expect that to drive it. That's the plan. The plan is to deliver those type of volumes this year. But the key is not to chase -- not to give away a $1 for $0.95, right? I mean that's what we don't like about the commoditized space.
Daniel Bergman: Got it. That makes sense. And then -- I apologize if I missed it, but can you give an update on the level of partnership and mark-to-market assets that you currently have in the portfolio as of the end of the second quarter? And is there any high-level breakdown you can give in terms of the mix of what you're holding? For example, how much is real estate versus other asset class?
Jim Hamalainen: Sure. In -- the total of partnerships and mark-to-market assets was $1.66 billion. It's a -- if you think about the mark-to-market assets, the good majority of that is in residential real estate and single-family rentals. And in partnerships, it's across a number of different investments.
Daniel Bergman: Got it. Thank you.
Operator: Thank you.  Our next question is from Pablo, JPMorgan. Your line is open.
Pablo Singzon: Hi, thanks. I was just wondering if you could quantify for us how much of a benefit you expect from short-term interest rates, just given that they continue to run up. And I guess if you sort of look forward, even maybe until the next year, in your own modeling, are you sort of assuming that the forward curve is saying where LIBOR growth has been 3.5%? I was just curious about your thought there. Thanks.
Axel Andre: Hi, Pablo, thanks. So, I think I may have mentioned earlier that for the third quarter, we expect the impact of the rise in LIBOR to be about a 16 basis point benefit to investment yield. That's obviously -- that's behind us. We've already seen in the LIBOR, itâs most of our floating rate assets reset in kind of the third week of the first month of the quarter. As far as long-term planning assumptions, we really look at the range of assumptions. Some include the forward curves, some include holding rates flat.
Pablo Singzon: Got it. Thanksm, Axel.
Operator: Thank you. I see no further questions in the queue. I would now like to turn the conference back to Ms. Julie Heidemann for closing remarks.
Julie Heidemann: Thank you for your interest in American Equity and for participating in today's call. Should you have any follow-up questions, please feel free to contact us. If you have any follow-up questions, please 